Operator: Thank you for standing by. My name is Carly, and I will be your conference operator today. At this time, I would like to welcome everyone to the Berkshire Hills Bancorp Second Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Kevin Conn. Please go ahead.
Kevin Conn: Good morning, and thank you for joining Berkshire Bank's Second Quarter Earnings Call. My name is Kevin Conn, Investor Relations and Corporate Development Officer. Here with me today are Nitin Mhatre, Chief Executive Officer; Sean Gray, Chief Operating Officer; Brett Brbovic, Chief Financial Officer; and Greg Lindenmuth, Chief Risk Officer. Our remarks will include forward-looking statements and refer to non-GAAP financial measures. Actual results could differ materially from those statements. Please see our legal disclosures on Page 2 of the earnings presentation referencing forward-looking statements and non-GAAP financial measures. Reconciliation of non-GAAP to GAAP measures is included in our news release. At this time, I'll turn the call over to Nitin. Nitin?
Nitin Mhatre: Thank you, Kevin. Good morning, everyone, and thank you all for joining us today. I'll begin my comments on Slide 3, where you can see highlights for the second quarter. Overall, this was a very strong quarter and the best quarter yet since we began our transformational journey in early 2021. We had operating net income of $31.6 million, up 14% linked quarter and up 36% year-over-year. Operating earnings per share of $0.69 was up 15% from first quarter and up 25% year-over-year. We continue to drive expenses lower with operating expenses of $67 million, down 2% linked quarter and down 7% year-over-year. We had positive operating leverage of 5% linked quarter and 11% year-over-year, driven by both improved revenues and lower expenses. Operating ROTCE was 10.76%, up about 110 basis points linked quarter and year-over-year. Asset quality and balance sheet metrics remained strong. Net charge-offs and nonperforming loans remained low at 14 basis points and 27 basis points of loans, respectively. We continue to make steady progress on our strategic initiatives. Our focus on new digital deposit program has gained momentum and has delivered over $100 million of new deposits since inception earlier this year. Our bankers' commitment to delivering relationship-focused personalized solutions to our clients has been at the core of our improved financial performance and has earned us yet another recognition this quarter, this time from Time Magazine that recognized us again amongst the top-performing midsized U.S. companies in 2025. As you know, in December, we announced a Merger of Equals with Brookline Bancorp. The transaction improves scale and meaningfully improves profitability as reflected in the estimated 40% and 23% accretion to Berkshire's 2026 consensus estimate on GAAP and cash basis, respectively. Berkshire's net income in the first half of 2025 annualizes to over $118 million and is tracking well ahead of the 2025 consensus net income of $101 million shared in our MOE investor deck in December. Our team continues to work proactively on requisite integration planning for a seamless transition. And on that note, I'll turn the call over to Sean Gray to provide an overview of the merger integration planning process. Sean?
Sean Gray: Thanks, Nitin. As we await regulatory approval, there's only so much in detail we can share. But I can say this, the combined organization's leadership team has made really good progress and continues to work towards our pro forma cost save goal of 12.6%. I can speak to where our tech stack expenses are coming in as most of that work is complete and where that is coming in versus plan. So I'm very pleased with the favorable outcome of where our tech stack expense is showing up, and that will bid favorably for the overall goal of the 12.6%. Thanks, Nitin.
Brett Brbovic: Thanks, Sean. I'll begin going over the financial details for the quarter. I'll begin on Slide 5, which shows an overview of the second quarter metrics. As Nitin mentioned, our operating earnings were $31.6 million or $0.69 per share. Our net interest margin was 3.27%, up 3 basis points linked quarter. Operating expenses were down $1.3 million or 2% linked quarter, and our efficiency ratio was 56.7%. Slide 6 shows our average loan balances. Average loans were up $95 million or 1% linked quarter on annualized and up $327 million or 4% year-over-year. Linked quarter, we had solid broad-based growth led by C&I. Slide 7 shows average deposits [Audio Gap] Quarter and up 6% year-over-year. Excluding payroll and broker deposits, average deposits were up 1% linked quarter and up 6% year-over-year. Average noninterest-bearing deposits as a percentage of total deposits remained steady at 23%. Turning to Slide 8. Net interest income was up $2.2 million or 2% linked quarter and up 4% year-over-year. Net interest margin was up 3 basis points linked quarter to 3.27%. Slide 9 shows operating noninterest income up $1.1 million or 5% linked quarter and up $1.6 million or 8% year-over-year. Loan-related fees were up linked quarter, driven by higher loan servicing fees and BOLI gains offsetting lower SBA gains in the quarter. Slide 10 shows expenses. Operating expenses were down $1.3 million or down 2% linked quarter to $67 million and down $4.7 million or 7% year-over-year. Linked quarter and year-over-year expense declines were broad-based. Nonoperating expenses of $1.5 million were primarily related to the merger. Slide 11 shows a summary of asset quality metrics. Nonperforming loans as a percentage of total loans was 27 basis points and loan reserves to NPLs was 462%. Net charge-offs of $3.3 million were down $200,000 linked quarter, and our coverage ratio remained flat at 124 basis points. And with that, I'll turn it back to Nitin for further comments. Nitin?
Nitin Mhatre: Thank you, Brett. As Brett outlined, we had a very strong second quarter that has continued the EPS growth momentum over multiple quarters. This quarter was, in fact, the best quarter since we launched our transformation program in early 2021. Over the last 4.5 years, our turnaround has been a journey of efficient growth and profitability while creating a positive impact for all stakeholders. We made significant strategic decisions, embraced innovation to invest in technology, reignited organic growth and remain committed to our communities. We've not only improved our financial performance despite the macroeconomic headwinds that have impacted the industry over the last few years, but have also positioned ourselves for continued strength in the long term. Our progress is a testament to the unwavering dedication and hard work of our employees, the trust and loyalty of our clients and the confidence and support of our shareholders. As I reflect on our progress since we began our transformation program in early 2021, I want to express my deepest gratitude to every member of Berkshire team, our clients and our Board of Directors. Our bankers' dedication, resilience and commitment to our clients has been the driving force behind our improved operating and financial performance. Together, we've navigated challenges, embraced change and delivered strong results for our clients, shareholders and communities. It has truly been an honor and a privilege to lead such an outstanding team of purpose-driven values-guided talented bankers. I'm incredibly proud of what we've accomplished together and excited to see what the combined company will achieve next. With that, I'll turn it over to the operator for questions. Carly?
Operator: [Operator Instructions] Your first question comes from Laurie Hunsicker with Seaport Research Partners.
Laura Havener Hunsicker: Just wondered if we could just start with margin. You guys had that $100 million drop in FHLB. Just remind us when in the quarter that fell and then also your spot margin for June and just how you're thinking about it?
Brett Brbovic: Laurie, this is Brett. Our spot NIM for June was about 3.22%. The FHLB drop...
Laura Havener Hunsicker: Sorry, I think yes, there was a dead spot there. Can you start over?
Brett Brbovic: Sure. The spot NIM for June was 3.22%. And the FHLB decline coincided with an increase in our deposits throughout the quarter. So it wasn't at a specific point in time, it was just based on what we needed to borrow to -- or what we didn't need to borrow to -- based on the deposit growth that we saw this quarter.
Laura Havener Hunsicker: Got you. Okay. Got you. And do you have any sort of near-term large maturities coming due in CDs or borrowings that we think about here in the next quarter?
Brett Brbovic: No, nothing. I wouldn't say anything significant.
Laura Havener Hunsicker: Okay. Okay. Great. And then just jumping over to credit. Obviously, your credit is looking great. But just wondered if you can help us think about that jump in the C&I nonperformers to $11.5 million from $9 million. And then also Firestone. I know it's small, but if you could just give us what is the Firestone C&I balance and how much in nonperformers and charge-offs?
Nitin Mhatre: Yes, Greg, do you want to give some color on it?
Gregory Lindenmuth: Sure, the jump in NPLs, it's a handful of just smaller credits, probably just a half dozen of smaller credits with just individual problems related to each business. As far as Firestone, the balance is down 15% quarter-over-quarter to $28 million. and NPLs have historically ranged in the $1.5 million range. They're at $1.3 million right now. And for NCOs is a net $900,000 for the quarter.
Laura Havener Hunsicker: $900,000. Okay. And then again, you had outsized charge-offs just in the C&I bucket. Was there anything specific there that's worth calling out?
Gregory Lindenmuth: No, very similar to the NPLs, nothing noteworthy, just a handful of individual credits on the smaller side.
Laura Havener Hunsicker: Got you. Got you. Okay. And then I think I know the answer to this, but I just want to triple check. Your $700 million multifamily book, anything rent controlled in that network?
Gregory Lindenmuth: There we have no rent control in our footprint. Even though New York City is technically within our footprint, we do not have any loans there.
Laura Havener Hunsicker: Okay. And then I know [ Mondami ], he's expressed a desire to target other markets too, i.e., Albany. Do you have any rent controlled anywhere?
Gregory Lindenmuth: We do not, not in our footprint. No and not in Albany.
Laura Havener Hunsicker: Okay. That's great. And then noninterest income, the loan-related fees that were really strong. What were the BOLI gains in this quarter?
Brett Brbovic: They were about $800,000 above normal.
Laura Havener Hunsicker: Okay. Just nonrecurring benefit, death benefit.
Brett Brbovic: Correct.
Laura Havener Hunsicker: Okay. And then how do we think about the drop in the SBA loan gain on sale of SBA loans? How should we be thinking about that?
Sean Gray: It's Sean. Brett is probably going to say the same thing. We're coming off a really good Q4 and Q1. We pulled some of that value forward. So a little bit of a move back to the mean. But when we look at the core business, we look at pipeline and volume, it looks very healthy.
Laura Havener Hunsicker: Okay. So this current run rate, 2Q is probably a better run rate?
Sean Gray: I would say it's in between the Q1, Q2. Yes.
Laura Havener Hunsicker: Okay. Okay. Great. And then how should we be thinking about tax rate going forward?
Brett Brbovic: So our tax rate is a bit elevated right now due to timing and merger-related aspects. I would expect it to normalize going forward.
Laura Havener Hunsicker: Okay. And so what would be a good like 23%, 24%?
Brett Brbovic: I would say about 24%, 25%.
Laura Havener Hunsicker: Okay. Okay. And then just last sort of more high-level question here. Can you help us think about your deal tangible dilution at announcement, tangible book dilution was 17% and then a 40% earnings pickup. Can you just help us think about what the what the new FASB impact on CECL updates and the double count sort of means for your tangible book dilution? Can you help quantify that? And also, presumably, your tangible book dilution is something less, but your earnings pickup is also something less. Just how should we think about that? And then also deal related, can you help us think about the timing?
Brett Brbovic: Sure. So Obviously, the ASU hasn't been finalized yet. It's expected to be adopted at the third or fourth quarter of this year. It will have an impact on our -- the combined entity as we move forward. I don't think at this time, we can quantify that right now on this call. But it definitely will have an impact, and it's something we're continuing to analyze as we get more information on the ASU and what it's going to look like in its final state.
Laura Havener Hunsicker: Okay. And then what about deal closing? We've seen things really ramp up on the M&A side on deal closings just happen really, really a lot faster. Any color on that?
Nitin Mhatre: Yes, Laurie, I think we -- in the investor materials, we did say we expect the closing to be end of September. Everything is on track so far. So we're just awaiting the regulatory approval, and the teams are already working on the integration planning, as Sean highlighted.
Operator: There are no further questions at this time. I will now turn the conference back over to Nitin Mhatre for closing remarks.
Nitin Mhatre: Thank you all for joining us today for our call and for your continued interest in Berkshire. Have a great day and be well.
Operator: This concludes today's conference. You may now disconnect.